Operator: Good morning. My name is Julian, and I will be your conference operator today. At this time, I would like to welcome everyone to the Copper Mountain Mining Corporation Third Quarter 2019 Earnings Conference Call. All lines have been placed on mute to avoid any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Please note that comments made today that are not of historical factual in nature may contain forward-looking statements. This information by its nature is subject to risks and uncertainties that may cause the stated outcome to differ materially from actual outcomes. Please refer to Slide 2 of today’s presentation and Copper Mountain’s Third Quarter 2019 management discussion and analysis for more information. I will now turn the call over to Gil Clausen, President and CEO of Copper Mountain Mining. Please go ahead.
Gil Clausen: Good morning, everyone and thank you for joining us. As you can see on Slide 3, I have with Don Strickland, Copper Mountain's Chief Operating Officer and Rod Shier, our Chief Financial Officer. I'll begin by providing brief highlights on the quarter and Don will provide a more detail discussion on our operation, followed by Rod who will speak to our financial results. I'll then wrap up with the update on our exploration and development efforts. And then open the call for questions. Turning to Slide 4, this quarter was a challenging one given the low copper price environment coupled with the fact it was lower grade production for as well. In the quarter, we produced 16.3 million pounds of copper, 6,500 ounces of gold and above 57,000 ounces of silver. We experience lower grade related to plan this quarter and Don will go into this in more detail later on the call. Rate and production is planned to improve in the fourth quarter but as a result of third quarter production, we expect to finish the year at the lower end of 2019 production guidance range. C1 cash cost in the quarter was US$2.12; AISC was US$2.28 with all in cost, all in costs at US$2.67 per pound copper. We continue to focus on cost containment in the quarter, invest in our business and pay down our debt. Finishing the quarter with $36 million in cash. On the exploration and development front, we announced the new resource and completed metallurgical tests work on the Blackard deposit which forms part of our Eva project in Queensland, Australia. Blackard was not included in the 2018 EVA feasibility study, but it will be incorporated into the updated feasibility study we are planning for Q1, 2020. We also increase the reserve and resource at the Copper Mountain Mine. We optimized the pit designs and improve the mine plan which resulted in a lower strip ratio, strip ratio moved down to 1.58 from 1.82 and we extended the mine life by about 4.5 years to 31 years of proven improbable reserves. In the quarter, we continue to advance the mill expansion project; however, we are now matching the construction schedule to our cash flow forecasts given the lower price environment for copper. Since 2020 is a really a strong cash flow year for us, we anticipate completing the project in stages during the year. First, new cleaner circuit will be installed close to the original schedule than the ball mill which is deferred by four months with installation over the summer construction season. And that will result in an overall commissioning in Q4, 2020, without needing additional financing to complete. I will talk more about these projects later on the call. I'll now turn the call over to Don to go over our operational results for the quarter.
Don Strickland: Thanks Gil. As Gil dated, Q3 was a lower production quarter. Both mine and mill continued to perform very well. However, the grade was lower than expected. I'll explain the reason for the lower grade and why it wasn't anomaly. Starting on Slide 6. This slide highlights the areas mine during the quarter. Our strip ratio continues above average as we focus on waste development in the areas highlighted on the bottom of this slide for the south end of the main pit. This is the major waste stripping area that we are advancing to expose higher grade ore for our 2020 and 2021 production plan. We are progressing well on this plan. Turning to Slide 7. The red dotted circle highlights the localized area which experienced lower grades when indicated by the reserve model. This area was located under waste rock that was backfilled in the historical Pit 1. The backfill restricted exploration drill access thus the reserved model has lower drilling density in this area and relied more on historical drilling. The reserve model has performed well since start of operations in 201. However, during the quarter we did complete approximately 3,000 meters of infill drilling and reconfirm the production outlook for the next 18 months. Turning to Slide 8. Our 2019 exploration program was very successful in materially expanding the tonnage of the North Pit. This pit has slightly lower copper grade but has higher gold grades. It also has higher recovery, lower strip ratio at 0.85 the top of the pit actually outcrops on a hill located right beside the Primary Crusher. All of these items make the economics of the North Pit attractive. We're very excited about the material and tonnage change of this pit and the impacted as on the life of mine plan. We are prioritizing the development of this fit. The picture on the bottom of the slide provides good visual, the proximity of the North Pit to the Primary Crusher and mill. We had a lower grade stockpiles around the base of the hill as it is located right beside the Primary Crusher. During the quarter, we remove most of these stockpiles and we have now started stripping the overburden off this pit, allowing us to advance production in 2020. Along with updating the design of the North Pit, we have also updated the Copper Mountain main pit designs as Gil was referred to. This has resulted in a lower overall strip ratio and a larger reserve. Turning to Slide 9. The mill continued to operate consistently during the quarter, as shown in the graph on the bottom of this slide. The mill has performed consistently since 2016, achieving high tonnage rates and high operating time. The notable items for the quarter of the lower feed grade and the slightly lower recovery. The reserved model bearings discussed earlier was the main reason for the lower grade and 800,000 tons of stockpile lower grade ore was fed to the military in the quarter, resulting at 0.26 % copper feed grade. Copper recovery was slightly lower than average as some of the lower grade stockpile order was oxidized. Overall the mill continues performed consistently allowing us to focus on improvement opportunities including the mill expansion project. Turning to Slide 10. One of these improvements during the quarter was installation of a New SAG screen, previous screen was operating beyond its design capacity thus was less reliable and was expensive to maintain. The screen is a new design which will support the higher tonnage rate of the mill expansion. It is also an innovative design that is more energy efficient. This is a positive long-term improvement supporting a reliable and low-cost operation. So far is performing very well. Turning to Slide 11. Subsequent to the quarter end, we commissioned Oil-Filled Transformers on both ball mills. This is a very significant milestone as it completes the installation of Oil-Filled Transformers on the SAG and ball mills. This is expected to resolve the reliability and maintenance issues we have experienced with dry tech transformers over the last six years. The SAG mill has been successfully operating on Oil-Filled Transformers for the last year. In addition to improve reliability, these new transformers allow us to increase the power draw of the ball mills as we have done with the SAG mill. This is expected to further increase the mill tonnage. This is another positive long-term improvement supporting a reliable and low-cost operation. Summarizing our Q3 operational results, it was a tough quarter, but the reason for the lowered grade is understood and it is a very localized issue. We have successfully commissioned the new SAG screen and oil-filled transformers to improve long-term results. We are advancing the North Pit for 2020 production. We are now mining higher copper grade in Q4 and our waste development is progressing well to deliver on the higher production plans for 2020 and 2021. I'll now turn the call over to Rod to cover our financial results.
Rod Shier: Thank you, Don. Starting on Slide 13. Revenues for the third quarter were $63 million from the sale of nearly 17 million pounds of copper, approximately 6,400 ounces of gold and about 57,400 ounces of silver. Higher revenue in the third quarter was a result of slightly higher gold sales in conjunction with higher gold and silver prices being realized when compared to the third quarter of 2018. Cost of sales for Q3, 2019 was $64 million as compared to $70 million in Q3, 2018. The decrease in cost of sales is a result of reduced depreciation in Q3, 2019 versus Q3, 2019. And this resulted from the increased reserve base announced late in 2018 which acts as a denominator in the depreciation calculation. In addition, we allocated $8.3 million of mining costs to deferred stripping in the third quarter as compared to $3.1 million in the third quarter of 2018. And the final note, the third quarter of 2018 included $4.2 million write-down on the low-grade stockpile to adjust it to the net realizable value as required under IFRS. And there was no such adjustment in the third quarter of 2019. This all resulted in a gross loss of $1.4 million for the third quarter of 2019 as compared to a gross loss of $9.6 million for the third quarter of last year. Continuing on to slide 14, you see that the company recorded a net loss of $10.6 million in Q3 or about $0.05 per share as compared to a net loss of $5.1 million or $0.02 per share in Q3, 2018. Net income for Q3, 2019 included non cash unrealized foreign exchange loss of $4 million as compared to a non-cash unrealized foreign exchange gain of $5.4 million in Q3, 2018. This represents the differential of approximately $9.4 million which was primarily related to the company's US dollar denominated debt. On an adjusted basis, the company recorded a net loss in Q3, 2019 of $5.6 million or $0.03 per share. For the third quarter of 2019, EBITDA was negative $3.2 million and adjusted EBITDA was $1.8 million. Cash flow from operations was $400,000 for the third quarter of 2019 which allowed us to end the quarter with approximately $36 million in cash on hand. I will now turn the call back to Gil to conclude with an update on our growth initiatives.
Gil Clausen: Thanks Rod. Let's turn to slide 16. Last month, we announced the results from the drilling program and metallurgical tests were completed on the Blackard deposit, along with an updated resource. Blackard deposit adds over 830 million pounds of copper to the Eva Copper project and at higher grades. The Met test work shows that flotation recoveries are expected to be around 90% for the Copper Sulfide Zone and about 63% for the Copper Zone which has a lot of native copper in that horizon. From very positive test results and we believe it will be a significant additional potential throughput to our design plant at Eva and given the size of Blackard, it represents a lot of potential to significantly add to that mill feed. We're currently incorporating the Blackbird results into a bankable feasibility study and we expect to announce those results in the first quarter of 2020. While we are and will continue to add value to Eva, we are in no rush to build. We will only move the project forward in the right copper price environment. We see Eva as a free option on copper that can be executed on quickly in the right environment. Slide 17, we also continue to advance our mill expansion project of the Copper Mountain Mine this quarter. However, in light of the lower copper price environment, we have rescheduled the project development timing to match the 2020 cash flow generation of the mine. This has its commissioning fully in the fourth quarter of 2020 and most importantly, we will not require financing to complete this project. The first stage of the mill expansion consists of the cleaner circuit upgrade, which involves the installation of Direct Floatation Reactors which will increase our concentrate grade from about its current level of 25% to about 28% copper and concentrate and that will allow us to pull a rougher circuit a little harder because of the efficiency of those DFRs and improve the overall recovery. Engineering is well advanced and construction is for this is very straightforward with the improved concretes, we will be able to lower our concentrate transportation costs. Commissioning for the DFRs is expected mid 2020. The second phase of the project consists of pouring the foundation and installing the third ball mill. Project engineering design is being completed to support commissioning in the fourth quarter of 2020. As Don mentioned earlier, we installed the new higher capacity SAG mill screen in the third ball mill is now on site and ready to be installed. We continue to drill at the Copper Mountain Mine and as our reserves are now starting to materially outsize the production rate, we're going to consider further expansion plans and potential studies next year. We see huge potential at the Copper Mountain Mine and we're committed to realizing that value. And with that I will open up the call to questions.
Operator: [Operator Instructions] Your first question comes from Orest Wowkodaw from Scotia Capital.
OrestWowkodaw: Hi. Good morning. Couple of questions. First of all, just curious the pushback on the completion of the expansion at Copper Mountain mill, can you quantify what you think that might do to your copper production next year in terms of lost ounce?
GilClausen: Sure. Orest, I would suspect that if you looked at our guidance range that we gave last year, we would anticipate not the feasibility but the actual guidance the three-year guidance that we did in January, we put our updated feasibility study for Copper Mountain which was the integration plan including Ingerbelle out in February. And at that time we never changed our actual guidance which remained at three-year guidance. We are going to update that guidance in January and we're seeing with the work done on the Copper Mountain pits with that we should expect some improvement over that. And I think in the past I kind of guided that it would be between the feasibility estimate which anticipated the Q2 construction start for the mill expansion project and the Q4 start which we are now looking at. So my -- I guess it's going to come out still somewhere between those numbers but very definitely closer to old guidance and we will update everything in the first quarter.
OrestWowkodaw: Okay, no, fair enough. Because I think the guidance ranges were pretty far apart. I think your original guidance was 86 to 95 and then the tech report was showing 111, if I'm correct.
GilClausen: Yes. And that was the recovery and the throughput being realized in the second quarter going to the full year. So we'll --we anticipate we may be -- because the plans are changing a little bit, but not materially but we, you would expect probably slightly stronger than we have guided before but very close to that range.
OrestWowkodaw: Okay, perfect. The mine plan calls for a big pickup in the grade next year. I think the 0.35; just curious if that is -- if you expect it to be relatively smooth through the year or whether we're going to see big variations on a quarter-to-quarter basis to get to that average?
GilClausen: I think what you're going to see is that grade will pick up in the fourth quarter of this year. And it will be materially higher quarter-on-quarter as you go through the next year, but the big push is as we're looking at is the throughput increase that we're seeing in the fourth quarter of next year because of the commissioning of the new mill. So there will be a throughput impact in the fourth quarter, but you'll see great building up to a fairly high level throughout the year. So why is that? It's because we're getting into these materially higher grade areas at the south end of the main pit as Don talked about in his presentation. So as higher proportion of our production comes from the south end of that main pit, we're going to see the higher grades. And what advantage that the Copper Mountain North Pit gives to us is more on a cost basis because it's literally right beside, that pit is right beside our waste dump [senate], right beside the crusher. So the amount of trucks that are required to meet mill throughput and stripping is very low on that pit. So it's very low cost. So we're in the process right now of just finalizing the adjustments to that as we go through our budget cycle. But it's looking to be a very good year from both a grade and a throughput or cost perspective for us.
OrestWowkodaw: Okay, great. And just finally just on the balance sheet. You mentioned earlier that you expect no financings in 2020 to get the mill expansion over the line. Am I correct in just that you've got US$45 million of debt maturity is due in calendar 2020? And I'm just curious what you consider your sort of minimum cash balance to be in that analysis?
RodShier: Hi, Orest. I'll take that one if that's okay. I think one thing that sometimes people forget is that the term facility has been funded and will continue to be funded by Mitsubishi. And so you need to take that out of the equations and that's about $32 million next year. And we're actually in the lowest part from a dollar value point of view of maturity for the senior facility which currently sits at $83 million and that's the only secure debt on the mine. Just remind you that the term loan is guaranteed by Mitsubishi. So when I look at our payment starting in this December, they've now actually gone down to about $4.5 million every six months. So the debt maturity is very manageable next year. That's why you're seeing and some people don't quite understand it. When we advanced in Mitsubishi advanced money into our subsidiaries to local finance to make those payments, we put them in as one year rolling notes and so unfortunately under IFRS we have to include that as a current liability. And that's why you see that due to related parties continuing to grow. It's ending up $106 million but the net effect is that term loan is just pushed down to the end of the third party bank debt loan life essentially at a very attractive rate of about 2.88%. So we continue with that attractive financing. And this will allow us then as Gil pointed out to use some of this strong cash flow from 2020 to pay for the expansion.
Operator: Your next question comes from Stefan Ioannou from Cormark Securities. Your line is open.
StefanIoannou: Great, thanks very much, guys. Maybe just to follow up a little bit on Orest's questions with, you talked about grade and tonnage going over the next quarter into next year, just on the stripping, how should we think of the stripping and deferred stripping for Q4$? And then as we go into 2020, are we almost through some of that big heavy lifting with regards to waste or we still having another quarter or two of that to go?
GilClausen: No. I would say that we're through the heavy load on stripping and really two things impacted that. One was we had as what Don pointed out, we had some losses of tonnage and actually some of the higher grade categories in that in the west end of the main pit that he discussed. And so we started to accelerate and as we lost some high-grade tons in that area, we started to work to accelerate the grade Pit 3 which we have, we have a lot of information on in and that would allow us to bring some grade forward and keep this on plan for 2020 and 2021 not to mention the fourth quarter. We're now pulling ore grade tons out of the Pit 3 area. You should see our stripping ratio drop in Q4 and you'll see a more normalized stripping ratio coming out for the balance of 2020 and 2021. End of Q&A
Operator: We have no further questions; I turn the call back over to Mr. Clausen for closing remarks.
Gil Clausen: Well, thanks everybody. As you can we are setting the stage in 2019, mine development is well advanced delivered on higher grades in Q4 and 2020. We're --and we will continue to advance the mill expansion which is in our longer-term production profile. This is a transition year for us as we note it all along, but we expect a strong 2020 and beyond. So again thanks everybody for joining the call. And we look forward to seeing you all in the not too distant future.
Operator: This concludes today's conference call. You may now disconnect.